Operator: Good day and welcome to the Old Republic International First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. And instructions will be given at that time for you to queue up. I would now like to remind everyone that the conference is being recorded, and to turn the conference over to your host, Scott Eckstein, with MWW Group. Please go ahead, sir.
Scott Eckstein: Thank you, operator. Good afternoon, everyone. Thank you for joining us today for Old Republic’s conference call to discuss first quarter 2015 results. This morning, we distributed a copy of the press release. If there is anyone online who did not receive a copy, you can access it at Old Republic’s website which is www.oldrepublic.com. Please be advised that this call may involve forward-looking statements as discussed in the press release dated April 23, 2015. Risks associated with these statements can be found in the Company’s latest SEC filings. Participating in today’s call, we have Scott Rager, President and Chief Operating Officer; Rande Yeager, Chairman and Chief Executive Officer of Old Republic Title Insurance Companies; Karl Mueller, Senior Vice President and Chief Financial Officer; and Al Zucaro, Chairman and Chief Executive Officer. At this time, I’d like to the call over to Al Zucaro for his opening remarks. Please go ahead, sir.
Al Zucaro: Okay. Thank you, Scott Eckstein, and thank you to everyone who’ve come to be with us in this latest quarterly update on our venerable Old Republic. We have a full contingent of the most senior executives who oversee and guide important parts and functions of the total Old Republic business with us today as was just noted. So this afternoon, we’ll start the ball rolling with Scott Rager who will comment on our general insurance business. He’ll be followed by Rande Yeager who will address the business operations and title insurance, and I’ll follow with some brief comments on the RFIG runoff business. Karl Mueller will then go over key numbers and other important financial data. And then, we’ll wrap it up and open up the visit to the Q&A session. So as we’ve reported and as we will now discuss this afternoon, we think that we have a very good start on 2015 with both our title and the runoff businesses producing somewhat better than anticipated results this early in 2015. General business is pointing to the real possibility we think that claim costs are not about to – not likely to sting us to the same painful effect as they did last year. So on that note, I’m going to ask you, Scott Rager, to give you a remarks on the general insurance business and so why don’t you take the ball and run with it.
Scott Rager: Thank you and good afternoon. The general insurance group, our largest, experienced 7.1% growth in net premiums earned year-over-year for the first quarter. We think this is a very good start given that this number contains elements of both pricing improvements and organic growth. And more currently, we’d say that new business is a driver as well. In most operations, we’re managing yet to reconfigure the general insurance line to achieve a much greater composition of loss-sensitive products. Generally speaking, the rate environment has moderated in most markets. But in operations or product lines wherein we still need the most improvement, we’re looking at mid-single-digit rate increases just as we planned for the year. Customer retention rates continue to trend favorably and are in line with our expectations. We’re not having to yield on legitimate price on considerations to either retain or gain business. For all these reasons, we fully expect our top-line growth to continue at/or about the same level achieved in the first three months of this year. Underwriting results for this year’s first quarter were not adversely impacted by development of prior-year claim costs anywhere close to the adverse levels experienced in the final quarter of 2014. As you see in this morning’s release, we’re categorizing the development as being slightly deficient. Year-to-date, the loss ratio was up a point to 73.8%, while the expense ratio remained consistent at 23.5%, all this, of course, results in a composite ratio of 97.3% in this year’s first quarter versus a 96.2% in the same period last year. The increase in the commercial auto loss ratio of almost 6 points for this year’s first quarter was the primary reason for the group’s slightly deteriorated loss ratio in the first three months of the year. As you can see in the statistical exhibit posted on our website, the workers’ compensation and general liability ratios are both reflecting marginal improvements compared to the same interim period of 2014. As for the greater commercial auto claims ratio, the results were basically spread across several operations. In a number of cases, increased frequency or severity or both were the main culprits. Nothing points to any scenario requiring us significant corrective response across the board. At this juncture, we expect the claims ratio for all of 2015 to moderate and come in below the overall 2014 ratios. As the financial supplement information indicates, the general insurance group has done a very consistent underwriting performance over many years. While it is still early in the year, it is comforting to see the workers’ compensation and general liability lines registering much more acceptable claims ratios. Looking ahead, we don’t see material changes in the various marketplaces in which we participate. We believe premium growth above the single – mid-single digits remains achievable for the year. And as always, our focus is clearly on the achievement of favorable underwriting results over the term in the cycles. To do this, we remain prepared to sacrifice top line growth. Now, I’ll turn the meeting over to Rande Yeager a Title group update.
Rande Yeager: All right. Thank you, Scott. As you can see, the Title business posted significant improvement over 2014’s first quarter. Operations produced about $16 million in pre-tax profits in the first quarter this year, compared to $4.7 million in 2014. We booked about $428 million in premiums and fees this year compared to $393 million in 2014. Profit increase was about 233%, and the premiums and fees rose at the same time, about 8.7%. Our claims ratio declined as well from 6.1 to 5.6, as claim trends continue to improve with the economy and housing obviously for us in particular. The expense ratio dropped from 94% to 92.1% was a good sign. Closed orders and our direct operations were up over 28% in the first quarter. The commercial business, to which we’ve committed greater resources for several years now, continues to exceed our expectations, our various information technology units which provides services to our own operations as well as other unaffiliated providers are clearly enhancing their penetration of their respective markets. So, all in all, we’re very happy with this year’s first three months’ performance and what it pertains for the rest of the year. We currently estimate that Old Republic Title’s market share will most likely continue to hover around the 15% level when the final tallies come in for the year. Generally speaking, the first quarter is the year’s weakest. Most often, heavier refinance activity can affect mortgage lending activity during this period because interest rates dipped a bit in January. What we have – what has been referred to as a boomlet or a small increase in refinance activity early in the year. This drove up order counts to some extent and should provide us for some additional revenue in the second quarter. For the economy as whole, there have been good job reports offset by sluggish economic activity. Low interest rates offset by tight mortgage credit. And there’s continuing debate about Dodd-Frank legislation, federal reserve actions, terms of interest rates, and the anticipated finalization of the new Consumer Financial Protection Bill, as people probably known as the CFPB rules that will be released in August. Mortgage Bankers Association has revised its 2015 forecast slightly upward from about 1.1 trillion to 1.2 trillion originations. And for our part, we agree that 2015 should show some modern improvement over 2014 when the years, again, tallied up. For as long as I – as we’ve been in this industry, there have not been any periods when there wasn’t a perception of an imminent crisis, that certainly didn’t exist. And as always, we don’t get to exercise by the possibility of change. Our managers simply prepare for it. And in this light, we remain optimistic about both the near term and the long term. We should be able to produce good results for these future periods as long as housing and the economy, in general, prosper as we expect them to do. And that will be my report on Title. And with that good thought, I’ll turn the meeting back to Al Zucaro.
Al Zucaro: Okay. Let’s see, I want to say a few words about our RFIG runoff segment. It’s been fairly quiet since midyear 2014 and particularly when as we’ve once again reported or indicated in this morning’s release. We finally closed the loop on our mortgage guarantee deferred claim obligations. And we did that by paying 100 cents on the dollar on all legitimate claims that I’ve been settled. I must say I know we said this before, we take a great deal of pride in having discharged those claims obligations honorably and to the great satisfaction of all stakeholders. And since July of last year when we did make those final payments, the mortgage guarantee part of the runoff has progressed pretty much as we’ve expected. We’re managing the business with great deals of efficiency and you can see that in one of the tables. You can see that efficiency is underscored by a very low expense ratio. And that when it comes to claim costs. Again, as you can see, they do continue to decline in tandem with housing-related financial sector improvements in most parts of the nation. As I’m sure you all read, housing prices keep inching up in most areas and all of that is good for the mortgage lending industry, for the title industry and certainly for the mortgage guarantee business. We’re still incurring some pretty stiff legal expenses in mortgage guarantee and those are related to now a single remaining piece of litigation that we’ve had with major banking institutions since the great recession started. And in this, we’re still hopeful of resolving the dispute and to do so in a mutually acceptable manner. So we are looking forward to moving on to more productive objectives for this mortgage guarantee business and to do so in the best interests of all the stakeholders there, including most importantly or at least just as importantly, our professional associates who have been steadfast in managing that business through the troubled times that it’s gone through. Having said that about the mortgage guarantee business, something similar can be said about the consumer credit indemnity or what we refer to as the CCI portion of the RFIG runoff there again premiums and claims are trending down and they are doing sort of steady pace and that’s just as expected in the context of the declining book of business on the one hand as well as the improving situation in housing finance, and lending, and people’s ability to make payments on their obligations. Our remaining challenge in this business still is to rid ourselves of a couple of pieces of litigation. The major one of which I might say is with the same banking institution of which we have dispute on the MI side of the business as I mentioned just a couple of minutes ago. So we think that this should also happen in the foreseeable future or certainly as soon as both sides come to reason together and quit the lawyer-driven posturing that always stands in the way of a hand shake. So leaving this litigation baggage aside, we think that the RFIG runoff can proceed on an even queue and can in fact throw off a modicum of profits. Albeit, on a declining scale as the policies enforce both in MI and CCI fade away over the next several years. So having said this, I think we’re now at the point for Karl Mueller to take over and speak to some of the key financial matters as we indicated before. Let’s go to comp.
Karl Mueller: Okay. As shown in today’s news release, Old Republic’s financial condition reflects a continued focus on the strength and stability of the balance sheet. The cash and invested asset balance of roughly $11.5 billion increase slightly from amounts reported at the end of December. As discussed in previous calls, the composition of the investment portfolio evolved throughout 2014 to reflect a greater allocation to high-quality dividend-paying common stocks. This shift was made in order to create greater diversification and at the same time, to enhance the overall yield on the portfolio. As a result, the composition of the investment portfolio at year-end 2014 consisted of approximately 82% allocated to fixed maturity and short-term investments and 18% towards equity securities. I would say that these allocation percentages remained relatively unchanged at the end of the first quarter. At March 31, the equity portfolio was comprised of approximately 13% invested in various index mutual funds, 66% in blue chip stocks that have a long history of increasing dividend payments to their shareholders. And the remainder was committed to utility stocks. Investment income rose by a little more than 10% in this year’s first quarter to $91 million up from $83 million in the first quarter of last year. This higher investment income is attributable to larger investment. Our invested asset balances along with an increase in the yield on the portfolio in total. The credit quality of fixed income portfolio remains unchanged at March quarter end with an overall A rating and its average life remains just shy of five years. Consolidated claim reserves were relatively flat at the end of March compared to the most recent year-end. For the quarter, consolidated claim costs have developed slightly favorable or somewhat less so than last year’s first quarter. As we noted in the release and as mentioned briefly by Scott in his early remarks, the general insurance group’s prior year reserve development, however, was slightly deficient this quarter compared to a slight favorable development in the first quarter of 2014. I would just add that the prior year development did not have any significant impact on the composite underwriting ratio reported for either quarterly period. We experienced favorable development in the RFIG prior year reserves in both periods as we quantified on the bottom of page 3 on the news release this morning. And finally, the title reserves developed pretty much in line with prior year and estimates which is typically the case with those reserves. Moving on, shareholders’ equity as of March 31 was $4 billion or $15.48 per share which is an increase of $0.33 per share or 2.2% for the quarter. Together with the quarter’s $0.185 per share dividend, the total book return for the quarter was 3.4%. And finally, the capitalization ratios that are shown on the top of page 6 reflect a small reduction in the debt-to-capital ratio and that results predominantly from growth in the equity accounts. So that covers the highlights of our current financial condition, and at this point, I’ll turn it back to Al for a few closing remarks before we head over to Q&A.
Al Zucaro: Okay. So, to conclude, again, we think we’ve got a very good start on the year. In general insurance, as Scott mentioned before, premium growth will, more likely than not, be a little less than last year’s. But nonetheless, the underwriting and investment income parts of the business should continue to trend higher as we have seen in the first quarter. I think that a great deal of the underwriting improvement in general insurance has got to be driven by the much stronger claim reserve base that we closed the 2014 with. I think that Rande gave a very good explanation of the basis for our optimism in the title business. And we’ve also pointed out that absent and unexpectedly adverse non-recurring resolution of litigation in the RFIG runoff business that that also should produce positive results, again, in the context of a runoff operation. So when you wrap all of these together, we are an optimistic bunch here and we’re confident that we should be posting a good set of operating numbers, as this year evolves and as it concludes in December. So, with – let’s see, with this thought in mind and on the table, as Karl just mentioned, we’ll open up the session to any questions that you may have. So let’s get going with that.
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Vincent DeAugustino with KBW.
Vincent DeAugustino: Hi. Good afternoon, everyone.
Al Zucaro: Hi.
Vincent DeAugustino: Just to start out, I’m just making sure I understand clearly your comments around the litigation. Does that suggest that you would like to settle both the suits on the RFIG and CCI side?
Al Zucaro: I’m sorry. The question was, which one do we want to settle first?
Vincent DeAugustino: I’m sorry. So in many cases on litigation, you have the typical response of pursuing that aggressively and of course like generally the response is companies tend to believe that they’re not frankly in the wrong and therefore there’s no adverse impact to them and hopefully they’ll be successful in the litigation. In this case, it seemed like it was more of that your conversation that indicated at reaching a mutual agreement in settling these suits would be in both companies’ interest. So I just wanted to see if it was, you’re saying you’re continuing to litigate this or you do want to settle.
Al Zucaro: Oh, well, it all depends on how reasonable we can all be, right? If people are unreasonable, if we cannot come to terms, as President Johnson used to say, if we cannot reason together, then we’re not going to settle this thing. We’re just going to keep pounding away and both sides will be spending lots of money on the lawyers and make them happy. But we think that this thing has been lingering for such a long time now and the particular institution that we are – that we have the disputes with is one which as you can read in the papers has been assiduously resolving its litigation with the U.S. Treasury and what have you. So, we think that perhaps it is going to have an interest in coming to the table and attempt to resolve this thing on mutually acceptable terms, as they say.
Vincent DeAugustino: Thank you for that. And then coming out of the North Carolina hearing, I think that the bank that we’re all talking about that spoke during the end of year period, I came away, I would say, a little unsure of what Old Republic’s potential reserves for any litigation there would be. And so, the question here is if you were to settle, does Old Republic already have some reserve set aside for any sort of estimated liability there?
Rande Yeager : Well, as you know, our reserves are, Vincent – and you can look at the balance sheet and you can see the totality of our reserves which represents the totality of our exposure for each and all of our businesses.
Vincent DeAugustino: Okay. Got it. And then shifting over perhaps to a more productive discussion here. So, on workers’ comp, I’m very glad to see that the adverse reserve development there is not a big deal this quarter, and the pick looks to come down pretty nicely. And so, generally, you pay close attention to when you see kind of big shifts from last quarter to this quarter on workers’ comp trends, and so I just kind of wanted to hone in on any type of – anything on the paid side or anything on the loss cost side specifically that kind of underpins those changes.
Rande Yeager : No. I think it’s been pretty quiet on the waterfront, as the movie title used to read. Things are very stable. As Scott mentioned before, were getting good pricing, and the small, slight adverse development we have this quarter is not giving us any indigestion in terms of its, for attending to point to a need to do any significant amount of reserves strengthening. So we feel – right now, we feel very good. We felt very good as of year-end 2014 that we had done everything we needed to do to address our perception of any weakness that wasn’t in the reserves not just comp but everything else for that matter. That’s the best answer I can give to your question right now, Vincent.
Vincent DeAugustino: Sounds good and then just on commercial auto again more of a clarification question but my take away from the prepared comments was that some of the loss ratio left on commercial auto was something that was contained in the quarter and it’s not a broader trend that you would foresee being throughout 2015, is that basically the takeaway there?
Rande Yeager : I think that’s a fair assumption.
Vincent DeAugustino: I mean, anything discrete that sort of pressured results were just kind of looking to see if there’s anything in particular there that stands out?
Rande Yeager: You mean as to the commercial auto?
Vincent DeAugustino: Yes, please.
Rande Yeager: Yeah. I think it was – actually when you look across the line, the entire group it was 4, or 5 entities they just seem to have poor commercial auto experience and some were driven by frequency and some were driven by less frequency and more severity and just – that’s what it appeared to be for the quarter. So, as I indicated out, I don’t think there’s anyone thing that we could do system-wide or by entity that would be called for appropriately at this point in time.
Karl Mueller: Just for two, I guess, that’s a best way to describe what happened to us in that line in those claims this past quarter.
Vincent DeAugustino: Right.
Karl Mueller: Yeah.
Al Zucaro: Right. I mean...
Vincent DeAugustino: Okay.
Rande Yeager: That’s our take on at this point in time based on all the information we have.
Vincent DeAugustino: All right. Well, thanks for the answers. I’ll let somebody else take a shot. Thanks, guys.
Rande Yeager: Okay.
Operator: From JMP Securities, we have Christine Worley. Please go ahead.
Christine Worley: Hi. Thank you for taking my question. Many of them have been answered, but one sort of cleanup question, I know in the general insurance group, you said that rates are running in the mid-single digits. Looking at the group overall, how is that relative to loss cost trends?
Rande Yeager: Reasonable.
Al Zucaro: Yeah.
Rande Yeager: Reasonable.
Christine Worley: I mean if keeping up with loss cost trends, there’s no cushion on either side really.
Rande Yeager: Well, no, I wouldn’t say that. Everything’s at – rates, especially with respect to worker’s compensation are not only specific to the operating – the specially operating unit that serves a given marketplace because – but they’re also specific to state and in particular occupations that might be served by that operating unit. And I think if they’re performing well, Christine, if those – we’ve had good experience and things are rolling along well, you might see flat to high-single-digit increases. And if they’re not performing as well, you would be more inclined to see mid-single digits to high-single digits. So it really depends on the marketplace being served and the product line that’s under discussion. Does that help at all?
Christine Worley: Yeah. Now, it does. Thank you.
Rande Yeager: Good. Operator: And we’ll take our next question from Stephen Mead with Anchor Capital.
Stephen Mead: Yes. Hi.
Rande Yeager: Hi, Steve.
Stephen Mead: Going back to the workers’ comp and looking at sort of a...
Rande Yeager: Excuse me, Steve. Can you speak a little more loudly, please?
Stephen Mead: Yeah. Can you hear me now?
Rande Yeager: Oh yeah.
Stephen Mead: Fantastic.
Rande Yeager: Yeah. That’s much better.
Stephen Mead: Just looking at the history of workers’ comp and the composition of the business today, in terms of the underwriting ratio or the just the improvement in the business, where is the reasonable level to get back to in terms of – as you look at it from a couple of years kind of standpoint, in terms of how profitable that business can be for you.
Rande Yeager: Well, I think you can look at the – I don’t know if you have access, Steve, to the statistical exhibit that we put and that Scott referred to earlier in this conversation. But when you look at that statistical exhibit, specifically...
Stephen Mead: Are you talking about page 4?
Rande Yeager: ...page 4. Yeah, exactly.
Karl Mueller: Yeah. If you look at the far right, for the past several years, we’ve been putting a 10-year average number for these thee key lines as well as the individual lines. And you can see that the comp is at a 77.6. We think given the cost, the production cost structure of comp sitting by itself which is not necessarily the best way to look at it because as you know, comp is typically sold in tandem with the automobile liability and the general liability. But if you look at it on its own merits and you look at the cost structure, we think that if you can achieve over time a 74% to 75% launch ratio in comp, you’re in good shape and that’s what we aim to do again looking at that line by itself. Again bearing in mind, however, that we’re not just writing comp in your typical account, we’re writing a combination of the three lines. And when you look at that again for the last 10 years, you see that the overall ratio for those three lines is 75% from a claim ratio standpoint. But again, to a larger degree that 10-year average is also colored significantly by the bad experience we’ve had since 2011, 2012, 2013. I think those were particularly bad years for us and I think therefore longer term wise the overall ratio should be in that 72% to 73% for the three combined lines. So, long term 75% for comp we think is very good. Long term for the three lines combined 72%, 73% max ratio is very acceptable. Particularly when as could happen in the foreseeable future you’ve got some investment income kicking in and helping with the discounted aspects of those claim reserves.
Stephen Mead: Okay. And then as you look at the capital base and the company now and as you start to in the sense retain earnings relative to some of the organic growth of your businesses, where do you see yourself today in terms of capital relative to the different business segments. And if it sort of stays at the current steady state, when do you start to see an sense generate, in the sense, excess capital relative to the underlying business itself. Do you follow my question?
Rande Yeager: Yeah, I do. Long history with us will pay on an average, on the moving average basis, maybe 35%, 40% of the earnings in terms of dividends which implies that we’ll keep 55%, 65% of the earnings and added to the capital account. We’ll also focus on the effect on the capital account of our equity holdings, common stock holdings which as you know, tend to create some volatility in the capital accounts. So that leads us to keep a little more capital, a little more cushion to absorb that down, that potential down draft in common equity valuations. And as you know, if those impact your capital significantly, it does impact your ability to do business. And then the remaining portion of what we add on to the capital on a regular basis, is takes into account our expectations as to how quickly this business can grow. And as a minimum, we assume a 7% or 8% average growth rate of the top line, and therefore what it contributes to the reserve levels. Again, you’ve heard us say this. Our main focus in the general insurance business which is oriented to a long tail, so-called long tail lines of insurance is on the ratio of claim reserves to capital and surplus. And right now, that ratio is at the midpoint, right column, the bottom and the high side. So I would say that the long winded answer to your question, Steve, is that we’re going to need a couple of years before we get to the point where we may feel we have more than enough capital in that business. Right now, we are still going to maintain a capital building posture in general insurance for all the reasons I’ve just given.
Stephen Mead: Okay. Thanks.
Operator: And we’ll take a follow up question from Vincent DeAugustino with KBW.
Vincent DeAugustino: Hello again, and thanks for taking the follow-up. Just one quick one, Al, just to your earlier comments I think it went something along the lines of you’re getting close to being able to seek productive objectives in RFIG. And I’m just curious if anything has changed on the strategic front or there is any implication in your comments of other options for RFIG margin. And thank you.
Rande Yeager: No. No. We need to resolve these issues, see them though and then we’ll take another look.
Vincent DeAugustino: Okay. Got it. Right. Best of luck. Thank you.
Al Zucaro: Right now, as we’ve said repeatedly, Vincent, we’re perfectly happy to stay with that runoff to the end when all substantially all of the business is off the books. We think we’ve got good staffing in place, good infrastructure and certainly, a commitment on our part to see things through if we don’t do anything with that operation.
Vincent DeAugustino: All right. Sounds good though. Thanks for all the answers. Best of luck.
Operator: And we’ll take our next question from Adam Liebhoff with Loomis, Sayles.
Adam Liebhoff: Hi, guys. It’s Adam Liebhoff with Loomis, Sayles. Thanks for taking the question.
Rande Yeager: Okay.
Adam Liebhoff: You’ll have to forgive me. I’m relatively new to your business, but I’ve heard in the past, you guys refer to the concept of risk transfer versus risk management in the workers’ comp business. So I’m wondering whether you could help me understand the difference, number one. Number two, to the extent you can help me understand how the general insurance business or I guess the workers comp business is split between risk transfer and risk management, and the relative profitability of the two types of contracts or types of approaches. That’d be great.
Rande Yeager: Well, the difference between risk transfer and risk management, to start with, is that under risk transfer, we’re at risk from ground up all the way. And in compensation, as you know, in workers’ compensation, by law, the policies we issue have got unlimited liability whether it’s a large account or a small account. In risk management, the approach through various mechanics, those mechanics including, for example, the ownership of a so-called captive insurance company by an assurer, typically, an assured with a substantial balance sheet and an appetite for risk. So such an assured, for example, in comp, to use it as an example, might retain the first million dollars of each and every workers’ comp claim. And then we come in and fundamentally are providing reinsurance protection over and above that in addition to providing the various levels of services. Now captive insurance again is one, only one of the mechanisms that can be used. We can use retrospective premium adjustments to attenuate the cost and by that I mean that we may offer a dollar rate to an account which is predicated on having an ultimate loss ratio of 60%, let’s say, on the book of business. And if the loss ratio turns out to be 55% down the road, we’ll kick in – we’ll kick back some of the premium. If the loss ratio is higher than the 60%, we’ll charge the account an additional premium. In both cases, there’s a high and a low or top and a bottom to the amount of the adjustment that can be secured. So typically, the risk management business, or sometimes it’s referred to as alternative market approaches, involves those kinds of participations by an assured in the underlying risk. So acting, as you can I’m sure detect, acting more or less as a reinsurer puts us in a position where we don’t have to deal as much with the frequency of claims as much as we have to do with the severity of claims. And that’s what reinsurance companies do. Through the reinsurance mechanism, they attenuate the severity of claims. We do risk management business or alternative market approaches for basically the three lines of insurance, workers’ compensation, general liability and automobile liability with workers’ comp being significantly larger piece of the equation. As to how much of our total business is – falls in the traditional ground-up risk transfer part of the business versus the risk management or alternative portion, it varies but over time it’s been about a 55% to 45% configuration with 55% being risk management, 45% being risk transfer. Again, on comp you have that. It’s a little more accentuated. In AL, for example, automobile liability, it may be as low as 30% being in risk management and 70% in alternative – in risk transfer. Okay. That address your question?
Adam Liebhoff: Yeah. And I guess, the other thing is, is there a way to determine which of those businesses is more profitable? I would imagine risk transfer, but I’m certainly no expert.
Rande Yeager: No. I mean, to us it’s one book of business because again in risk management, we are at risk as a reinsurer. It’s just a matter of the quality of the risk, right, whether you’re downstairs or whether you’re upstairs?
Adam Liebhoff: Okay.
Rande Yeager: And that’s why I say in the risk management portion we act more like a reinsurance company than a traditional primary company with a ground-up exposure. But to us it’s all risks and it’s just a matter of how much you charge for our perception of that risk.
Adam Liebhoff: Okay. Understood. Thank you so much for the time.
Rande Yeager: Yes, sir.
Operator: That concludes today’s question-and-answer session. At this time, I would turn the conference over back to our management team for any additional and closing remarks.
Al Zucaro: Okay. Well, we don’t have closing remarks. We – as always, we appreciate the back and forth of the questions asked and we sure as hell appreciate you being on this call and participating in it on a regular basis as you all do. Having said that, we’ll bid you a good afternoon or good morning, or good evening, wherever you are. You all take care now. Look forward to visiting with you again next quarter.
Rande Yeager: Thank you.